Operator: Good morning, and welcome to Townsquare's Second Quarter 2018 Conference Call. [Operator Instructions] With that, I would like to introduce the first speaker for today's call Claire Yenicay, Executive Vice President. Ma'am, you may proceed.
Claire Yenicay: Thank you, Operator and good morning to everyone. Thank you for joining us today for Townsquare’s second quarter financial update. With me on the call today are Dhruv Prasad and Bill Wilson, our Co-Chief Executive Officers and Stuart Rosenstein, our CFO and Executive Vice President. Please note that, during this call we may make statements that provide information other than historical information, including statements relating to the company's future prospects. These statements are considered forward-looking statements under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties that could cause actual results to differ materially from those projections. These statements reflect the company's beliefs based on current conditions, but are subject to certain risks and uncertainties that are detailed in the company's annual report on Form 10-K filed with the SEC and we incorporate these by reference for this call. We may also discuss certain non-GAAP financial measures, including adjusted EBITDA that makes certain pro forma adjustments. Such non-GAAP financial measures should be used in conjunction with all the information contained in the quarterly and year end reports available on our website. At this time, I would like to turn the call over to Dhruv Prasad.
Dhruv Prasad: Thank you, Claire. Good morning, everyone and thank you for joining us today. We are pleased to announce another strong quarter at Townsquare. For the second quarter of 2018, our net revenue and adjusted EBITDA results exceeded the guidance that we had previously issued. Net revenue increased 1.9% over the prior year and adjusted EBITDA increased 1.4%. For the six months ended on June 30, 2018, net revenue increased 2.6% and adjusted EBITDA increased 6.6% compared to the first six months of 2017. These strong results in our growth so far this year are the product of the four-point plan that we first described you at the end of 2017 and against which we continue to measure our progress. First, its about local first, investing in content and sales execution within our local market footprint in order to drive stable results from our foundational broadcast product offerings. Our second objective was to reduce complexity and the volatility in our business. To address this, we reviewed and reorganized our live events in national digital businesses both of which had demonstrated strong profit growth so far this year above our expectations and in May we divested North American Midway Entertainment which as you know we have previously identified as non-core to our local first strategy. Third we wanted to allocate resources to drive some of our most promising growth products Townsquare Interactive and Townsquare Ignite as Bill will discuss shortly our investments in these areas continue to pay off and are a big part of the growth that you see in our financial results. Lastly, we wanted to make sure we continue to prioritize the product innovation and experimentation that has been a hallmark of Townsquare since our inception in 2010. Bill will provide some details on results from our first party data initiative, as well as our broadcast attribution and measurement product. We continue to be pleased with our results so far in these areas and expect both of these initiatives to help fuel our long-term growth. Overall and 10 months into our partnership as co-CEO's, Bill and I feel that Townsquare's performance so far this year demonstrates that we have the right priorities, have executed well against those goals and our position to drive a strong back half of the year as a result. There are three strategic transactions that we wanted to highlight for you. First, we closed on the previously announced acquisition of three radio stations in New Jersey for roughly 17 million from Kaiser Media at the beginning of the third quarter. The acquired assets are strategic fit with our existing presence in that state where we already owned 11 radio stations including our statewide news talk powerhouse New Jersey 101.5. So far the financial results of these acquired stations are in line with our expectations and we look forward to executing our plan for this acquisition while in particular driving growth by introducing our differentiated product sets highlighted by the Townsquare Interactive and Townsquare Ignite offerings to the customer base of these three stations. Beginning in the third quarter and to give our investors more transparency into our results, we’ll provide financial results that are pro forma for this acquisition and we’ll also be providing revised revenue and EBITDA guidance for Q3 and full-year 2018 that incorporates the acquisition later on this call. I’d also like to take this moment to acknowledge our excellent teams at the newly acquired WPSC-FM as well as NJ 1015 were both recently named finalists for well-deserved Marconi awards as the best radio stations in the country and their formats. Second, we strengthen our Music Festival portfolio by acquiring the 30% minority interest held by a local partner in the Taste of Country Music Festival at Hunter Mountain, New York in exchange for our 70% interest in Mountain Jam, a three-day rock festival held the weekend after Taste of Country at the same location plus small amount of cash consideration. The Taste of Country Music Festival has performed very well for us since we started this event in 2013 and this year sold out for the first time in its history establishing new records for attendance, revenue and profits. This transaction reflects our strategic commitment to an investment in country music not only in the live events platform but also across broadcast and digital content where we extend the Taste of Country brand through a syndicated radio show. Taste of Country Nights and of course on tasteofcountry.com the leading website in country music. The deal was completed in an attractive accretive valuation and was deleveraging. The historical results of Mountain Jam are now included in the discontinued operations in our financial statements. Finally and as we announced about 10 weeks ago, we completed the divestiture of North American Midway Entertainment in May for 23.5 million plus a right to receive 15% of any future proceeds from the sale of NAME in the next 10 years by the new owner. As we’ve noted on previous calls, we determine that NAME was no longer core to Townsquare during our entertainment segment review in the fall of last year. And so since that time, we've been working on alternatives to divest or shut it down. With this now behind us, we’ve completed the strategic reset of our company that we started in the fall of last year and we’ve largely reoriented towards the stability profitable growth and cash generation of the advertising marketing solutions and live events businesses in our local market footprint. From a balance sheet standpoint our net leverage defined as net debt to EBITDA increased slightly in the second quarter which we had anticipated to 5.4 times on a net basis. This was largely the result of the sale of NAME which was leveraging on an EBITDA basis. However given the significant capital expenditures associated with NAME as a percentage of the EBITDA produced the sale of this business materially improves our go forward free cash flow profile and margins and therefore examined on a debt to free cash flow basis is significantly deleveraging. Over the remainder of the year, we expect to further reduce our net leverage through operations as we anticipated growth in our EBITDA and our cash balance. We continue to have ample liquidity on hand to invest in attractive growth opportunities with $62 million in cash as of the end of the second quarter and a revolver commitment of $50 million which we never drawn. We will make our next dividend payment on November 15 which was just approved by our board. Before I turn the call over to Bill, I wanted to touch on the recent proposal that our trade organization the National Association of Broadcasters made to the FCC to modify the current local radio ownership rules. Along with several other broadcasters we played a part in the development of this proposal. We support the NAB's position which reflect the views of the substantial majority of its Board members. For those of you who were unfamiliar with the NAB’s proposal it would raise the FM ownership cap in the top 75 markets to eight stations. And would eliminate the FM ownership cap outside the top 75 markets. Lastly it proposes no cap on AM ownership regardless of the size of market. For perspective since we’re mostly focused on small and midsize markets we have only four markets inside the top 75. We support this proposal to modernize the local radio ownership rules. In the 22 years since the current numerical caps were established by the Telecommunications Act of 1996 the emergence of digital and social media not to mention the pervasive use of smart phones and other devices has fundamentally disruptive how information is disseminated locally and nationally. The competitive landscape for information, as well as audio entertainment has changed dramatically. In radio our main competitors Facebook, Google, Spotify Pandora YouTube and Sirius XM didn’t even exist in 1996. And yet our current rules are based on that era. Given the vastly different competitive landscape in the information marketplace it follows logically that rules when originally intended to limited advantage and undue influence must themselves adapt or be eliminated altogether. Ownership restrictions limit the ability of local stations particularly those in smaller markets to take advantage of economies of scale and time of unprecedented competition. For over the air radio to continue to serve the public interest we must be free to compete for assets, capital and resources on a level playing field with our competitors. Along with nine other companies we were pleased to sign a letter of support for the NAB's proposal which was released on Monday. We look forward to working with other broadcasters and the FCC to further this discussion ahead of the commission's quadrennial review of the ownership rules taking place later this year. With that I'll turn the call over to Bill to review our Q2 operating results.
Bill Wilson: Thanks Dhruv. As Dhruv noted we are pleased to report strong second quarter results that exceeded the guidance that we had previously issued. Our second quarter net revenue growth of approximately 2% was driven primarily by two key factors. First the continued stability of our broadcast products and second the strong growth of our digital marketing solutions. To provide you with information to better analyze our revenue results we have provided detail in the footnotes to our quarterly report breaking out our revenue composition into the following categories, advertising which is inclusive of broadcast and local digital advertising products. Our marketing solutions business Townsquare Interactive and live events. We encourage you to review this detail to better understand our revenue trends and in particular gain more insight into what is driving the strong performance of our company. As part of the local first initiative that we outlined on previous calls we have been recruiting and attracting strong talent to the local sales force in our markets. And as a result, we are currently at our highest sales staffing levels since September of 2016 nearly two years ago. We believe we are able to correlate strong local talent and a larger sales force with a noticeably increased in new business generation which we have observed over the first six months of this year. Similarly our content investment initiatives are also producing strong results which continue to manifest in our ratings. Midway through our spring ratings season we are continuing our positive momentum. In Albany we have three of the top five stations in the market including the markets number one station WGNA. After investing in audience research and marketing Monmouth Ocean, New Jersey we had our best ratings book in the past few years led by the Hot AC Powerhouse WJLK. In Buffalo our country and urban stations maintain a perennial number one and number two position by a significant margin leading in number three station by more than 50%. Our digital products and solutions continue to be our primary revenue growth drivers particularly Townsquare Interactive and Townsquare Ignite. In Q2 Townsquare Interactive our digital marketing solutions business continued its strong performance increasing revenue to 11.7 million in the second quarter and 22.5 million in year-to-date representing revenue growth of approximately 17% compared to the same periods of 2017. In addition, we saw meaningful acceleration of net subscriber adds in the second quarter adding 850 net subscribers a noticeable increase from the previous four quarters where we averaged 400 net adds per quarter. We drove this acceleration through an increase in the amount of new customer sales as well as a reduction in our monthly churn due to our focus on customer retention. Looking forward we anticipate that quarterly net adds will remain above historical average of 400 net adds per quarter because of our sales and retention initiatives. At the end of the second quarter we had approximately 13,650 Townsquare Interactive subscribers with an average ARPU of approximately 300 per month with new client ARPU meaningfully higher implying a current annual revenue run rate of nearly $50 million. Townsquare Ignite our digital programmatic advertising platform continues to perform exceptionally well and a number of orders running per month has increased to 1,700 in June 2018 from less than 1,000 per month for the comparable period in 2017. Like Townsquare Interactive, Townsquare Ignite has demonstrated consistent revenue growth each and every month so far in 2018, generating strong revenue growth during the first six months of 2018. Consistent with our plan, we have continued to expand our sales force and service teams for both of these fast moving and profitable digital products, in order to support continued growth, and this investment will continue through the year. Finally, as we have shared previously, we continue to operate both of these digital products and margins consistent with our core broadcast business. We are very proud of our digital performance and the digital expertise of our local teams. Gordon Borrell of Borrell Associates, recently completed his 2017 digital benchmarking study, in which he examined digital advertising across the local media landscape. This study concluded that Townsquare captured 2.6x the average addressable digital market share of other radio companies in it's markets. In fact Gordon highlighted Townsquare as one of the top digital performers across the local media landscape which includes more than 3000 local media properties, including radio, television, Yellow Pages, and new paper companies. I'd also like highlight our national digital business, which was restructured at the end of 2017 to have a smaller and more focused direct sales team with an increased emphasis on programmatic sales. This strategy is working very well, as we're experiencing strong profit growth. In addition, our local and national digital content remains very strong across platforms, reaching on average nearly 30 million unique visitors per month in a year-to-date period, and garnering more than 1.2 billion lifetime YouTube views and 2.6 billion lifetime minute views as of the end of the second quarter. I'd also like to highlight our terrific team at XXL. The number one hip-hop and urban brands on the web, who had an incredible quarter. XXL announced the 2018 freshman class in Q2, and three of the freshman videos appeared on YouTube's trending section with one becoming the number one trending video on YouTube the day it was released. For context, the 2018 freshman class videos have already been viewed over 15 million times on YouTube since being release. As Dhruv mentioned earlier, we continue to in innovation related to our local advertising products. In particular, our first party data initiatives which we're seeing drive new sales and customer attention for both digital and broadcast products. And second, our broadcast measurement and attribution service through our partner analytical. For the first time, we now have the ability to back up the assertion that radio works for advertisers, with specific attribution data that can demonstrate to our clients the impact of their radio advertising campaigns, measure and compare creative, and help to optimize their advertising spends. In our view, this is a game changer for radio, and we are pleased to see that many of our colleagues in the industry have also begun to adopt these same practices. In our opinion attribution tools like analytical should become the currency with which we speak to advertisers. In total, our advertising revenue which includes both broadcast and digital advertising, increased 3.5% in the second quarter and 3.4% in the year-to-date period compared to the same periods of 2017. Excluding political, advertising revenue increased 2.6% in the second quarter and 2.8% in the year-to-date period compared to the same periods of 2017. Finally, our live events business also had a great quarter, delivering strong profit growth on intentionally lower revenue as we've discussed previously. Our second quarter live events results were primarily driven by our multi day country music festivals which had a dynamite year, breaking ticket sales and profit records. A significant highlight was this year's addition of the Taste Of Country Music Festival which as Dhruv mentioned earlier, we watched in 2013 at Hunter Mountain, New York, and which this year achieved its first ever sell out audience of approximately 70,000 people over three days. We're also pleased to report that WE Fest, our three day country music festival in Minnesota was recently nominated by the Academy of Country Music as festival of the year. Before turning the call over to Stu, I wanted to share a brief anecdote that demonstrates the power of our local brands. At the end of June, one of the world's biggest artist Drake, released his number one album Scorpion, which included the hit song, "After Dark." After Dark includes a minute long air check from our number one urban radio station in Buffalo, WBLK, highlighting the WBLK brand to millions of music fans. Drake also announced to his more than 40 million Instagram followers that WBLK was the radio station that he grew up listening to. This is just one example of the power and influence of our local radio brands. With that, I will now turn the call over to Stu, who will review our financial results.
Stuart Rosenstein: Thank you, Bill, and good morning everyone. As a reminder, in the fourth quarter of 2017, and in connection with the strategic review that we previously discussed, we discontinued the operation of certain portions of our business. And those results were shown as discontinued operations in our year end and first quarter financial statements. Following the divestitures of NAME in Mountain Jam in the second quarter, their results have also been reclassified into discontinued operations for the current and historical periods. In the second quarter of 2018, we had a net loss from discontinued operations of $8.4 million, as compared to a net loss of $2.2 million in the second quarter of 2017. In the year-to-date period, we had net loss from discontinued operations of $37.8 million as compared to a net loss of $5.9 million in the six months ended June 30, 2017. As a reminder, the year-to-date loss from discontinued operations was primarily due to the $38 million noncash impairment charge related to NAME that was incurred in the first quarter of this year. All of the financial results we will discuss today are related to continuing operations. In addition, as a result of the divestitures of NAME and the completion of our strategic review of our entertainment segment, we consolidated the financial reporting for our Company into one single segment. For the quarter ended June 30, 2018, net revenue increased 1.9% or $2.3 million to $119.6 million as compared to the second quarter of 2017. This exceeded our previously issued guidance of $114 million to $118 million. In the year-to-date period, net revenue increased $5.3 million or 2.6% as compared to the prior year period. Excluding live events net revenue which was intentionally budgeted down in 2018, net revenue increased 5.0% or $4.6 million in the second quarter and 4.9% or $8.5 million in the year-to-date period. As expected, political was again a positive factor in this quarter, increasing from approximately $600,000 in the second quarter of last year to approximately $1.3 million in the second quarter of 2018. However, our results excluding political was still strong. Net revenue excluding political increased 1.3% in the second quarter of 2018, and 2.2% in the year-to-date period, compared to the same periods of 2017. Total direct operating expenses increased 1.5% in the second quarter and 1.1% in the year-to-date period compared to the same period of last year. The expense growth was driven primarily by investments we've been making in our digital products and sales teams, largely related to Townsquare Interactive and Townsquare Ignite. Corporate expenses increased 9.9% in the second quarter and 8.0% in the year-to-date period compared to those same periods of last year. This was due to an increase in headcount expenses mostly resulting from job changes, from personal previously classified as direct operating expenses in 2017. Adjusted EBITDA for the second quarter of 2018, was $27.9 million, exceeding our second quarter EBITDA guidance of $25 million to $27 million. This represented an increase of approximately $400,000 or 1.4% from the prior year period. In the year-to-date period, adjusted EBITDA increased $2.8 million or 6.6% to $44.8 million compared to the first six months of 2018. Depreciation and amortization expense for the quarter decreased 10.3% or $530,000 which was primarily due to timing. Net interest expense for the second quarter of 2018 increased $542,000 or 6.8% compared to the second quarter in 2017, as a result of the increase in LIBOR rates, which impacted our applicable interest rate on our term loans. With quarter ended June 30, 2018, our provision for income taxes was approximately $3.7 million. We'd like to remind you that the provision for income taxes included on the face of our income statement is for GAAP financial statement purposes only. We maintained significant tax attributes including $137 million of NOL carryforward and other substantial tax shield related to the tax amortization of intangible assets. We continue to believe that will not be material cash tax payer until the year 2024. For the second quarter of 2018, net income from continuing operations increased $2.3 million or 29.2% to $10.1 million or $0.36 per diluted share as compared to net income per diluted share of $0.27 in the prior year period. As of June 30, our total debt balance was $562.4 million. Our total cash balance was $62.4 million and we had revolver capacity of $50 million. Our net leverage as of June 30 was 5.4 times based on a trailing 12-month adjusted EBITDA of $92.7 million. We expect our net leverage to decline over the second half of this year as we expect to increase adjusted EBITDA. Yesterday the Board approved our next quarterly dividend distribution which will be payable on November 15, 2018 to shareholders of record as of September 27. The declared dividend is 7.5 cents per share which would equate to $0.30 per share on an annualized basis representing a dividend yield of approximately 4.5% at our current share price. We are confident that with our existing cash balance anticipated cash flow generation and undrawn revolver capacity will have sufficient liquidity available to us over the next 12 months to operate our business and service our dividend and debt obligations in the ordinary course. As Dhruv mentioned on July 2, we closed on the acquisition of the [Princeton], New Jersey assets which included WPST-FM for approximately $17 million which we funded with cash on hand. Beginning in the third quarter, we will provide results on a pro forma basis for these assets and our guidance going forward will include the results of this acquisition. Turning now to our third quarter outlook, we expect total revenue to be between 111 million to $115 million and we expect third quarter adjusted EBITDA to be between $27 million and $28 million. For reference this compares to Q3 2017 net revenue and adjusted EBITDA of 113.8 million and 26.6 million respectively on fully pro forma basis including the results of the Princeton acquisition. As a reminder year-over-year revenue comparison of our third quarter results will continue to be impacted by the reorganization of the live event business which has resulted in lower revenue but higher profits so far this year and we expect this trend to continue in the second half of 2018. For the full year 2018 and on a pro forma basis we’re increasing our total net revenue guidance to between $425 million to $430 million as compared to our previous guidance of $413 to $421 million. We’re also increasing our adjusted EBITDA guidance to between $96 million to $98 million as compared to our previous guidance of $93 million to $95 million. This revised guidance incorporates our strong performance to-date and the full-year impact of the Princeton, New Jersey assets that we acquired in July. For reference pro forma net revenue and adjusted EBITDA was approximately 418.9 million and $92.1 million respectively in 2017. And with that I'll now turn the call back over to Dhruv.
Dhruv Prasad: Thanks Stuart, and thank you to everyone who dialed in this morning. In summary, we’re pleased with our results this quarter and feel good about continuing our momentum into the back half 2018. We have the right plan, we’ve executed well and we look forward to the opportunity to continue to prove that over the next several quarters. We welcome the opportunity to discuss Townsquare with you directly so please call us anytime with questions or just to check. And with that we’re now happy to open up the call for questions. Operator, will you please open up the lines.
Operator: [Operator Instructions] Our first question comes from line of Michael Kupinski with Noble Capital Markets. Please state your question.
Michael Kupinski: I was just wondering if you can just talk a little bit about the Interactive segment, obviously up 17% in revenues. Can you talk a little bit about how many sales people you currently have, maybe the FTEs in the segment that has ability to sales for the Interactive segment? And then can you compare that to last year?
Bill Wilson: As you noted our revenues up in Townsquare Interactive 17%, we broke that in the queue, so there's a lot more the detail for everyone to see there. Our base is in Charlotte for that division, we have several hundred employees there. From a sales perspective, we have over 100 sellers down in Charlotte, but we also leverage our local sales teams as well which are over 400, and as we noted on the call, a high over the past two years. So, as it relates specific to the dedicated Townsquare Interactive sellers, that's up about 8% year-over-year roughly, if you're looking just at that, but at the same time we're leveraging our existing local market sales force as well for Interactive.
Michael Kupinski: And on the core advertising side, it seems like you're doing better than most of the industry at this point. Can you talk a little bit about the categories and how they performed some of the larger categories and how they performed in the quarter? And what you're seeing getting into the third quarter?
Bill Wilson: As you noted, we're performing well in the advertising side, we also broke that out in the queue for the first time, which is our broadcasting digital advertising products. Broadcast, overall as we noted on the call is stable and slightly positive year-to-date and our digital is growing quite aggressively in double digits. From a category perspective, positives, our services, which would be IT services, health services, financial services, auto, entertainment, education, real estate, as well as political, as Stu mentioned on the call.
Michael Kupinski: I was just wondering whether local marketing on the core advertising going into the third quarter [indiscernible]?
Dhruv Prasad: I would say our pacing's are reflected in the guidance that we've given for Q3. So, as you can see - as you would note from the guidance, slightly up. So we feel good about Q3.
Michael Kupinski: Do you have any thoughts on - and if I recall, iHeart didn't support the initiatives with plenty of restrictions, is that right or am I wrong about that because I think I read a report that they didn't support that, I was just wondering why they may have not?
Dhruv Prasad: You have to ask them, they have come out saying that they're not supportive of modifying the ownership caps. From - as I said on the call earlier and as we noted, we think this is a no-brainer, and as a result we're very happy to support the NAB and their proposal, and we're really they took action.
Operator: The next question comes from the line of Patrick Sholl with Barrington Research. Please proceed with your question.
Patrick Sholl: I was wondering if you guys could talk a little bit more on the mix of events that you guys have – because obviously - you guys talk about community festivals but maybe there are some of the other ones that you have and I would like to fun run that was a bit challenging last year but maybe just a little bit more info on that.
Dhruv Prasad: So, we - as you know have a lot of diversity in our life events offering. The music fest, the multi-day music festivals Taste Of Country Festival, which we noted on this call. WE Fest, which was just nominated for an ATM award as festival of the year, tend to get a lot of the headlines and they are bigger events in terms of revenue, a bigger single events in terms of revenue and cash flow. In addition to that, we continue to operate the ameriCAN Canned Craft Beer Festival series successfully as we have for several years since we created it, now three or four years ago. The Insane Inflatable 5K, which is fun run series that you mentioned, we shrunk from a number of events perspective, but expect to be steady this year from a profit standpoint. And we expect to continue that into 2019, we won't be doing over hundred events like we've done in the past, but we expect to continue with a similar number of events and therefore similar profit contribution going into next year. And then in addition to that, there are the largest category in terms of number of events is all of the local events that we do in partnership with our local radio stations, that's really the bread and butter of our lives and that business in the place that we started. Those events are profitable, are growing, and support the station brands and support our communities. Those are things like the Kalamazoo, Michigan Ribfest, that we just had a couple of weeks ago, the Spirit of Boise Balloon Classic that is coming up in Boise, Idaho. So, we feel - hopefully that gives you a little bit more color, those are recurring businesses, and we feel really good about how our live events business is positioned today.
Operator: The next question is from the line of Amy Yong with Macquarie. Please proceed with your question.
Amy Yong: Maybe two questions, first one for Bill. Can you talk about adjusted sales mix kind of longer term direct versus programmatic? And I think some of them were larger digital periods have been making some investment on the FX side. Do you feel the need for the same type of investment? And then I guess two, even deleveraging obviously very quickly, any thoughts on tax priorities perhaps a buyback which I believe you once explored. Thanks.
Bill Wilson: Yes, on the programmatic side from a digital perspective, we spent a lot of time - I think on the last call, the prior call, on Townsquare Ignite which is our digital programmatic offering, which is growing - as I noted on the call, quite nicely year-over-year. We have over 17 orders running currently, and just to compare that to a year ago period was under 1000. So the adoption locally of our programmatic platform is quite well and the revenue and campaigns continue to follow that track. So we do that as quarter what we're offering our clients - again that's integrated with our local sales teams as I referenced earlier, and feeling quite bullish about where that business goes. If you want to find out more about it, and actually has a lot of information at townsquareignite.com around all the products and the solutions that we provide there.
Dhruv Prasad: Thank you very much for recognizing our strong cash flow generation. That's something that we're really proud of. Our deleveraging event, I mean our excess cash flows, first going to go to pay our dividends, then we look for accretive investments and then after that we'll look to reduce our debt with our excess free cash flow. We have it in the past and we have not actually contemplated purchasing any buyback of stock.
Operator: At this time, I have reached the end of our question-and-answer session. Now, I'd like to turn the call back to Dhruv Prasad for closing remarks.
Dhruv Prasad: Great, thank you very much. We appreciate everyone dialing in this morning. We know it's a busy morning for a lot of you. And we look forward to continuing to discuss Townsquare and our progress with you as the year goes on. And we'll talk to you again in a couple of months.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.